Operator: Good day, everyone. Welcome to Verisign's First Quarter 2024 Earnings Call. Today's conference is being recorded. Recording of this call is not permitted unless preauthorized. At this time, I'd like to turn the conference over to Mr. David Atchley, Vice President of Investor Relations and Corporate Treasurer. Please go ahead, sir. 
David Atchley: Thank you, operator. Welcome to Verisign's First Quarter 2024 Earnings Call. Joining me are Jim Bidzos, Executive Chairman, President and CEO; and George Kilguss, Executive Vice President and CFO. This call and presentation are being webcast from the Investor Relations website, which is available under About Verisign on verisign.com. There, you will also find our earnings release.
 At the end of this call, the presentation will be available on that site, and within a few hours, the replay of the call will be posted. Financial results in our earnings release are unaudited, and our remarks include forward-looking statements that are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent report on Form 10-K.
 Verisign does not update financial performance or guidance during the quarter unless it is done through a public disclosure. The financial results in today's call and the matters we will be discussing today include GAAP results and 2 non-GAAP measures used by Verisign: adjusted EBITDA and free cash flow. GAAP to non-GAAP reconciliation information is appended to the slide presentation, which can be found on the Investor Relations section of our website available after this call.
 Jim and George will provide some prepared remarks, and afterward, we will open the call for your questions. With that, I would like to turn the call over to Jim. 
D. Bidzos: Thank you, David. Good afternoon to everyone, and thank you for joining us. In addition to continuing to deliver on our mission as a critical Internet infrastructure provider, we delivered solid and consistent financial results during the first quarter. These results show the continued financial strength of our business model.
 For the first quarter, revenues grew 5.5% year-over-year, operating income grew 7.3% year-over-year and earnings per share grew 12.9% year-over-year. At the end of March, the domain name base in .com and .net totaled 172.5 million domain names, down 270,000 names from year-end 2023. From a new registration perspective, the first quarter ended with 9.5 million new registrations compared with 10.3 million names for the same quarter last year. The renewal rate for the first quarter of 2024 is expected to be approximately 74% compared to 75.5% a year ago.
 As we discussed last quarter, we expect our domains under management from our China-based registrars to contract in 2024. In the first quarter, this segment declined by 360,000 names. For the reasons noted in prior quarters, this regional softness has been the primary source of the recent drag on the overall domain name base growth.
 We're also seeing some softness from our U.S.-based registrars primarily due to their increased focus on ARPU through higher retail pricing levels, which is impacting new registrations and renewal rates. While we had expected these same factors to gradually subside in 2024, based on our first quarter results and current channel feedback, we now expect these conditions to persist through most of 2024.
 That being said, we're in the process of rolling out new registrar marketing programs to support and improve registration trends for the second half of this year to achieve our goal of returning the domain name base to growth in 2025. We're now expecting the change in the domain name base to be between positive 0.25% to a negative 1.75% for the full year 2024. As a modeling note, the decrease in domain name base is expected to be most pronounced during the second quarter of '24 due to a seasonally larger expiring base of domains during the first half of the year.
 Our financial and liquidity position continues to remain stable with $925 million in cash, cash equivalents and marketable securities at the end of the quarter. During the first quarter, we repurchased 1.3 million shares for $260 million. At quarter end, $860 million remained available and authorized under the current share repurchase program.
 Now I'd like to turn the call over to George. I'll return when George has completed his financial report with closing remarks. 
George Kilguss: Thanks, Jim, and good afternoon, everyone. For the quarter ended March 31, 2024, the company generated revenue of $384 million, up 5.5% from the same quarter of 2023 and delivered operating income of $259 million, an increase of 7.3% from the same quarter a year ago. Operating expense in the first quarter totaled $125 million compared to $124 million last quarter and $123 million in the year ago quarter.
 Net income in the first quarter totaled $194 million compared to $179 million a year earlier, which produced diluted earnings per share of $1.92 for the first quarter of 2024 compared to $1.70 for the same quarter of 2023. Operating cash flow for the first quarter of 2024 was $257 million, and free cash flow was $254 million compared with $259 million and $253 million, respectively, in the year ago quarter.
 I'll now discuss our updated full year 2024 guidance. Revenue is now expected to be in the range of $1.555 billion to $1.570 billion. Our operating income is now expected to be between $1.047 billion and $1.062 billion. Interest expense and nonoperating income net, which includes interest income estimates, is now expected to be an expense of between $25 million to $35 million. Capital expenditures are now expected to be between $30 million to $40 million, and the GAAP effective tax rate is still expected to be between 21% and 24%.
 Overall, Verisign continued to demonstrate sound financial performance during the quarter. Now I'll turn the call back to Jim for his closing remarks. 
D. Bidzos: Thank you, George. While we expect that the change in the domain name base for 2024 will be below historic levels for the reasons we've discussed, we continue to believe our business fundamentals remain strong.
 As I mentioned earlier, we're introducing additional registrar marketing programs to target quality growth in the domain name base. These programs will become active during the second half of 2024. We expect these programs to begin improving registration trends during 2024 and to contribute to a return to growth in 2025.
 Our goals to fulfill our stewardship mission of providing secure and reliable infrastructure services, managing our secure and reliable infrastructure services and our business responsibly, and efficiently returning capital to our shareholders remain unchanged and support our commitment to deliver strong financial results, including steady growth in revenue, operating income and EPS.
 Thank you for your attention today. This concludes our prepared remarks. Now we'll open the call for your questions. Operator, we're ready for the first question. 
Operator: [Operator Instructions] Our first question comes from Rob Oliver with Baird. 
Robert Oliver: Great. Jim, first one is for you. Could you just put a finer point on some of those conditions that you discussed, which are weighing on U.S.-based, domestic-based .com growth within registrars?
 And as a follow-up to that, I don't know how much detail you can provide, but maybe if you could give us any color around what sorts of programs we can expect which could help drive that return to growth in '25. I know you guys clearly have a long operational history of working well with your registrars and would be curious to know -- get a little sense of what it is that you had in mind. And then I had a couple of follow-ups. 
D. Bidzos: Sure. Let's see, your first question was on the U.S. market. So basically, as we've discussed, what we see is the recent registrar focus on ARPU has led to some higher retail pricing and a reduction of their promotional offers. And of course, just as a reminder, we don't control the retail pricing, the registrars do. And when you combine that with decreased marketing and advertising outlays from the channel, we think this is a factor leading to less demand for products at present as well as some lower registration volumes and lower renewal rates.
 As to the marketing programs, obviously, I can't really go into a lot of detail, but I can say that in addition to the existing programs that we have, we've got some new ones coming to market. We have one currently launched that is focused on .net, and we plan to launch additional programs focused on com in the second half of the year. So basically, what I can generally say about these programs and what's different, I think it helps to just understand that our channel is greatly varied.
 First of all, through COVID and afterwards, they've all gone through changes as we have, but we also have a channel that's evolved to include people like website builders and wholesale registrars who are selling to others. So our strategy is to broaden the options that's available to this sort of diverse group with diverse business models, geographic footprints, different installed bases.
 So by offering a broader selection, our goal is to increase engagement with our TLDs for the registrars and their customers. Clearly, one size doesn't fit all, like it has in the past many years ago that worked better. So these programs are really designed to address that diversity, and they also -- they're also designed with feedback that we've received from the community, and multiple options is clearly desirable. So that's the good generalization I can offer you. 
Robert Oliver: Great. That's helpful color. And then just as a corollary to that, George, for you. We're still running through the model here and obviously, the margin or profit coming down a little bit. That could be a result of the revenue, but is that -- is there -- are there any additional expenses in that second half associated with this program that would -- to drive -- to restart that jump in .com growth for '25? Any additional expenses captured in that change? 
George Kilguss: Yes, Rob, thanks for the question. I would say not a necessarily direct expense associated with those programs. We do have expense already budgeted, and that is reflected in the current guidance that we're already putting out there for you. 
Robert Oliver: Okay. Great. Helpful. Last question for me, and then I'll turn it over to Ygal. On China, Jim, last quarter, you mentioned that the situation was, I think you used the word opaque, and that there was just so many moving parts, and you guys have been a strong partner and provider in China for so many years.
 I'm curious how, if at all, that visibility has changed from 3 months ago. Is there a chance we see a bottom here? Has there been any evolution, in your view? And any color around what's happening in China would be helpful. 
D. Bidzos: Sure. Well, I guess, first of all, I would just remind you that in my prepared remarks, at least I mentioned that we do expect China to continue to be a drag through 2024. So that's the first thing. In terms of better visibility, less opacity. I'm -- not really. There's nothing really substantial that I think I can point to that gives us better insights. I just think that, that is a different market for all the reasons that we typically mention.
 The regulatory environment is a little bit different. They are much more adversely affected in terms of cost of goods, not just by price increases but also by the cost of buying dollars to pay for those domains. So they've -- that market is just sort of feeling a lot of different impacts. Specific detailed insights into it, no.
 I think our view of China is that, of course, at about 5% of our overall domain name base and moving downward, the negative impacts will, of course, ease as we move forward. That's one factor that will help us through 2024. The other, obviously, is 2 things, really. It's our programs that we're targeting at the registrars to help them focus on new customer acquisition and the fact that we think that their ARPU is sort of cyclical. We've seen that before.
 But specifically to China, I -- certainly not in the last 3 months, there's nothing I can point to that says we have a clear and better understanding. I think it's just simply affected as being a market that's more regulated and more sensitive. There are probably other factors that we don't fully understand. We study it closely, but that's the best answer I can give you right now. 
Operator: And we'll take our last question from Ygal Arounian with Citi. 
Ygal Arounian: If we could dig into the registrars and the focus on pricing and the impact that's having just a little bit more, is there anything within the pricing that's specific to .com that you're seeing, meaning if we look at kind of total domains beyond .com, the softness isn't necessarily as pronounced? So what are the dynamics? Why is it having a bigger impact on .com versus everything? Are they promoting some of the other TLDs more than they are .com? Just to understand that a little bit better. 
D. Bidzos: Well, it's -- Ygal, it's Jim. It's certainly true that one thing, I guess maybe I could have added, I didn't, so I'm glad you asked this question, to Rob's last question about China is that, that's where we're seeing other TLDs filling some of the demand there. These are TLDs that are priced extremely low. We're talking about sub-$1, in many cases. So that's certainly a factor.
 Again, we don't control the retail pricing. The channel is pricing our products .com, .net, sort of in a broad range. Some are pricing renewals above $20. Others are selling registrations and renewals much closer to the wholesale price. It varies. I think that focus on ARPU is probably a primary -- a factor in the U.S. along with the reduced spend on marketing.
 And I guess if I wanted to point to anything that we maybe could have done sooner or recognized a little better would be adapting these marketing programs sooner, but we're getting them into market now. So I think that will address some of the issues.
 But I think the place where you're seeing others make a huge dent is definitely in China. There are literally sub-dollar TLDs that are being sold there that are experiencing some growth. That's gone on and off over the years with different TLDs spiking way up and way down. You can see that in our DNIB report. 
George Kilguss: Ygal, it's George. We don't have the flexibility -- as much flexibility, I would say, in new gTLDs in certain markets. So we treat all our customers the same. And so sometimes when we have differences in exchange rates overseas, that can also be a factor in demand. 
Ygal Arounian: Got it. So just a follow-up on that, then. With pricing focus with Amendment 35 and the structure of the current contracts, do you think that there's maybe less pricing power in the domain? I mean I would think still not retail $20 a year. It's not the highest consideration purchase. Does that give you any pause or thoughts on how you think about pricing at a wholesale level? I know you don't control the retail level, but how does that flow through on how you think about the wholesale level? 
D. Bidzos: Well, I think the registrars have to make their own decisions on pricing. I think some of the higher renewal prices are, in my opinion, a testament to the stickiness and the high quality of the com product and that the largest segment we have is people who brand themselves on it, and those enjoy particularly high renewal rates. So I think it's just easy, if you have a product, a subscription product, that has strong stickiness like this, a functional TLD that's supported with a 26-year uptime record and all the other benefits that come with it. I think that's not particularly surprising.
 I'd attribute it more to the cyclical nature of ARPU. And new customer acquisition. And some of our programs are designed to accommodate the different business models that will get them more focused on new customer acquisition. 
Ygal Arounian: Okay. Helpful. And last one for me. Maybe -- we get a lot of questions as we get closer to the date on the .com renewal, and I'm assuming there's nothing new per se to say about it, but maybe just help us walk through the time line of the renewal. What are some of the key timing things to think about or what the time line might look like?
 And understanding, I think you've been through the idea that you have, the presumptive right of renewal here, and how the contract works is you're keeping the details the same, but any risks or other things for investors to think about as we get closer to that renewal date? 
D. Bidzos: I don't know what you mean by risk. I mean the contract has a presumptive right of renewal, and as long as we're meeting all SLAs, the contract says it shall be renewed. But the contract is not due for actual. The deadline date is the end of November, so it's a ways out. But we are now engaged with ICANN and are in the process of exchanging drafts to the com renewal. So it's early in that process, and com is, like I said, not due until the end of November.
 And the presumptive right of renewal, of course, was used with .net, and we had a -- we anticipate an on-time renewal as we had last year for .net. I think these -- ICANN has this in all of their thousands of gTLD contracts. There's a rolling constant exercise of this presumptive right of renewal, and we expect com, just like net and just like all the other gTLDs, to renew. 
Operator: And we'll take an additional question from Rob Oliver with Baird. 
Robert Oliver: Great. Jim, last quarter, you got a question on .web, so I think I'll ask it again. I'm not sure that there's been -- I know this doesn't seem like there's been any official update, but anything you guys have heard or seen or anything we should be aware of that constitutes any change? And could you just provide us your updated perspective on what you see as the possible time line or evolution of that web here? 
D. Bidzos: Thanks, Rob. Good question. I guess I would call it an update. You said movement. I guess this could qualify as that as well. So the one update I have is that Verisign and NDC have just filed an application to participate in this second IRP like we did the first one, as you know.
 We had that -- for context, we had this process where last April, ICANN's Board of Directors voted without objection to delegate .web to NDC. Altanovo then filed the second IRP complaint against ICANN. This second IRP is looking for the same relief to award .web to Altanovo that the first IRP panel rejected twice, sanctioning them the second time, and it's exactly what ICANN's Board committee and full Board also rejected last April.
 So we continue to believe that ICANN and the IRP panel should dispense as quickly as possible with what we believe to be baseless claims against ICANN. And by the way, Altanovo has no existing registry business, and as far as we can tell, whoever actually owns and is funding this litigation remains a secret. So the update is that we filed an application, and we'll see where the second IRP goes. 
Robert Oliver: Great. That's helpful. I'll have to go back to the record to look at that again. But very helpful. 
Operator: And that does conclude the question-and-answer session. I'll now turn the conference back over to Mr. David Atchley for final comments. 
David Atchley: Thank you, operator. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation. This concludes our call. Have a good evening. 
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. Have an excellent day.